Operator: Good evening. This is the conference operator. Welcome, and thank you for joining the Rexel Fourth Quarter Sales and Full Year 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Guillaume Texier, CEO of Rexel. Please go ahead, sir.
Guillaume Jean Texier: Good evening, everyone, and thank you for joining us today for our full year 2025 results presentation. I'm with Laurent Delabarre, our Group CFO, who will take you through the financials and the detailed numbers in a few minutes. And before that, let me briefly set the scene and share the key messages. 2025 was another year of market outperformance and margin resilience, and this is a particularly remarkable outcome as it was delivered in a mixed environment. It also clearly demonstrates the transformation of Rexel's model that is underway and gathering pace. Beyond the results, an additional element of satisfaction is that behind the scenes, we continue to take initiatives to strengthen the group for the next phase. Building momentum in high-growth verticals such as data centers, actively managing the portfolio and accelerating our transformation through digital, AI and productivity initiatives, which supports our confidence in our midterm ambition. With that, let's get started. And let me begin with a quick overview of the key highlights of the year. First of all, as I mentioned, our sales and margin performance offers an important proof point that Rexel's transformed business model is working, not only in favorable macro conditions, but also in a more mixed environment. Second, we adapted quickly to a very different environment in Europe and North America. As conditions evolved through the year, we stayed close to our customers, and we accelerated execution progressively, adjusting priorities and protecting performance. And third, as I said, we stepped up self-help actions through our Axelerate28 strategic plan. These initiatives are very operational and concrete, strengthening discipline, improving efficiency and ensuring we continue to build the foundations for future performance. So overall, resilient results today, rapid adaptation throughout the year and action plans that support the next steps of our journey to reach our midterm ambition. With that, let's move on and take a look at the year in more detail. And turning to our full year achievements on Slide 4. We met or exceeded the guidance we set for the year on all KPIs. First, on top line. We achieved plus 2.5% same-day sales growth, above the initial guidance that we had raised in October. Second, profitability remains very solid. We delivered a current adjusted EBITA margin of 6%, fully in line with our guidance, again, illustrating the resilience of our margins in a challenging environment. And third, cash generation was strong. Our free cash flow conversion before interest and tax reached 76%, well above our guidance of above 65% when excluding the impact of the EUR 124 million French anti-trust fine. So overall, we delivered growth, we maintained margin and generated strong cash, providing a solid base as we move into the next year and execute our priorities. Let me then take a step back on the backdrop. It was not a particularly easy environment. Europe stayed weak, notably in residential, North America was impacted by uncertainty and a delayed recovery in industrial automation. And Asia Pacific remained subdued. The clear area of strength was AI-driven data center investment and favorable pricing in the U.S., supported by trade tariffs. In that context, Rexel did what we set out to do. We outperformed and gained share across our key markets. We are seeing a real payoff from the work we've been doing over the last several years on sales force excellence, higher digital penetration and the ramp-up of advanced services. We also leaned into data centers and broadband infrastructure, particularly in the U.S. with dedicated teams and branches, and we further strengthened our position in the telecom space with Talley acquisition. In addition, we stayed agile on the portfolio with 5 acquisitions and 2 disposals. Overall, top markets but strong execution, and we've continued to build momentum in the right growth areas. From a geographical standpoint, the year really comes down to how we manage the 2 main engines of the group, North America and Europe. In North America, the focus was on managing profitable growth. We captured the trends in higher growth segments. And at the same time, we managed the tariff situation in a disciplined way. And importantly, we kept tight control of the cost base, delivering growth while operating with a broadly similar FTE level. In Europe, the environment was more muted with negative volumes and flat pricing. So we moved fast on costs. We rapidly implemented adaptation plans, leading to a workforce reduction of around 4%, about 600 FTEs in 2025, while keeping a strong focus on margins. Taken together, this is what drove improved margin resilience versus previous cycle downturns. Let me now focus on data centers in North America on Slide 7. What began 3 years ago as a targeted initiative is now achieving scale to become one of our most attractive growth platforms. In the U.S., we are reinforcing our position. We continue to significantly outperform the market with very strong momentum in Q4 and across the year, and data center already represents a meaningful share of our sales. To support that growth, we expanded our footprint and capabilities close to project sites, adding, for example, around 200,000 square feet of storage capacity in key locations like Atlanta, Mesa and Reno, with further potential to scale. Our model is simple, local branches and resources backed by national coordination. That allows us to be close to customers on execution while still bringing the breadth of Rexel expertise, availability and consistency across multiple sites. We also broadened our offering into new product categories that matter for data centers built, and we are continuing to add dedicated resources and expertise to capture the next wave of projects. In Canada, also, we are off to a promising start. Here, the activity for us is concentrated in the Western region. We are active in the gray room offering from UPS to panels and datacom accessories. And we have a strong backlog that supports continued momentum for 2026. So the key takeaways here is that our scale, logistics capabilities and technical expertise give us a clear advantage in this segment. We are well positioned with strong momentum ahead of us. I'm now on Slide 8. Portfolio management remains a key lever of our strategy. 2025 was another year of active portfolio management with 4 acquisitions completed and 2 disposals, further sharpening the group's footprint and profitability profile. We've strengthened our footprint through the additions of Warshauer and Schwing in the U.S. In Canada and Italy, we've expanded into adjacent higher-margin businesses with Jacmar [Technical Difficulty] while completing around EUR 2 billion net of disposals. And in total, we've closed 21 acquisitions over that period, including 4 in 2025. And what I would like to stress is the quality and the direction of this M&A. Around 60% is in our core electrical distribution business, around 40% in adjacencies where we see attractive structural growth and higher value-added opportunities. We have been particularly focused on North America with 14 acquisitions, representing more than 70% of acquired sales, including about EUR 0.5 billion in adjacencies. And this is clear value creation. On average, we see value creation from year 2, earlier than initially targeted. And our combined 2025 performance imply roughly 7x EV to EBITDA multiple after synergies below Rexel valuation multiple. And we also move forward on the other side of the portfolio with 2 targeted divestments completed in 2025, and these actions reinforce the robustness of our balance sheet and provide flexibility to continue investing in growth. Moving to Slide 9. Digital is a very tangible differentiator for Rexel and it continues to gain traction. Today, we are a B2B leader in digital with more than 1/3 of our sales going through digital channels, and this is not slowing down. Digital penetration has been progressing by between 200 and 300 basis points per year over the last 15 years. What's driving it is a mix of constant improvement in the customer experience with more tailor-made features, including AI-powered capabilities, plus continuous data enrichment and also, frankly, a generational shift in how customers want to buy and interact. The benefits of these long-term efforts are very concrete. And I believe this is one also of the explanation of our good set of results recently. Digital increased its customer stickiness and share of wallet. It widens the service gap versus smaller competitors who have increasing difficulties following the pace of the race to more data and more features. And finally, it also improves the efficiency and productivity of our teams, which is critical to our business model. All in all, it's a key engine of differentiation and performance for Rexel. Beyond the short-term environment, we are accelerating a set of deeper transformation to pave the way for future performance as shown on Slide 10. First, we are boosting sales force productivity through organizational changes and increasing adoption of AI-based tools to help our teams spend more time selling and improve the quality of execution. Second, we're optimizing the supply chain through more automation, stronger internal synergies and AI, improving service levels while taking structural costs out. Third, we are resetting parts of the cost base in lower profitability countries. This is about staying disciplined, adapting the model to the reality of the market and protecting margins. Fourth, we are leveraging our full offering, expanding in adjacent product categories and services where we can create more value for customers and capture more of their spend. And finally, we continue to roll out smart pricing programs that leverage data to improve consistency and value capture. Those OpEx are not only to Rexel obviously as we constantly strive to improve, but 2025 was a year of clear acceleration. First of all, because the business environment pushed us to move faster and sometimes think out of the box. And secondly, because we launched our new strategic plan, Axelerate28. And most of those plans we are talking about are multiyear efforts, which means that you will see them progressively delivering benefits to our P&L. Focusing on next slide on AI. AI is another area where we are moving fast. And it's not just -- I'm on Slide 11, and it's not just running pilots, but now scaling real use cases into day-to-day operations. On the left of the slide, you see the main areas where we had identified clear AI opportunities, tools to speed up RFQs, smart automation for order entry, automatic data enrichment and internal category expert capability, customer-facing chatbots. And on the right, you see where we are today, not in terms of shiny proof-of-concept demos but in terms of reduction by the teams and real-life industrial live tools. In the U.S., more than 50% of the quoting teams, for example, are already using the new quotation tools. In France, around 25% of e-mails quotes are handled through AI tools. And on order entry, we now have over 65% of U.S. teams and more than 70% of French teams using AI-powered tools. We are also rolling out internal expert capabilities by categories, deploying customer-facing chatbots across additional countries. So the message here is simple. AI is already improving speed, quality and productivity, and we are scaling it pragmatically use case by use case. And Slide 12 is about productivity, a major KPI for us. The message here is that over the last 5 years, we have lifted the baseline of what we are able to deliver in terms of productivity every year. What differentiates this cycle from previous downturns is the speed and depth of our cost adaptation. Through workforce adjustments, productivity initiatives, tighter cost control, we protected margins despite lower volumes, reinforcing the resilience of our operating model. Historically, between 2016 and 2021, our productivity ratio averaged around 0.9%. Over the last few years, it has stepped up and in 2025, it reached 2.8%. This improvement is not coming from one single level. It's a combination of structural initiatives that I just presented, including the ramp-up of digital and the early impact of AI tools, together with rapid cost adaptations in more challenging markets. So 2025 was another demonstration of Rexel's resilience at the bottom of the cycle. The key takeaway is that we are not just managing through the cycle, we are structurally improving how efficiently the group operates, which supports margin readiness and future performance. With that, let me now hand over to Laurent, who will take you through the detailed 2025 numbers, and I will come back for the guidance.
Laurent Delabarre: Thank you, Guillaume, and good morning to all of you. Evening. Good evening, sorry. On Slide 14, you can see how momentum improved throughout the year '24 and '25. With the quarterly same-day sales growth trend at group level and the regional breakdown, we moved from minus 4.6% in Q1 '24 to a progressively better trend quarter after quarter, and we closed 2025 with plus 3.8% in Q4. That's a very clear reflection of better momentum, disciplined execution in the field and better pricing management. First, selling prices contributed positively in Q4 '25 by 1.7%, improving compared to Q3 '25. And more specifically, non-cable pricing were unshaded in Q4 '25 at 0.9%, with improving trends in North America, mainly offset by China. Selling price on cable improved to plus 0.8%, notably thanks to Europe. And briefly on geography that I will highlight in the next 2 slides. North America remains the main growth engine. Growth accelerated through the year and ended it at plus 7.9% in Q4 '25. And Europe remained difficult, but the trend improved sequentially, and we are back to flat sales evolution in Q4 '25. And more specifically for Asia Pacific accounting for 6% of group revenue. China was up 3.1%, supported by industrial automation project in a better environment while selling price were just back to flat in Q4 '25. In Australia, sales growth accelerated in the quarter, notably boosted by solar activity, further supported by subsidies on batteries. Lastly, India, which is small, but sales increased by plus 16.9%, driven by strong growth in our industrial automation activity. I'll now go into more detail in the next 2 slides on Europe and North America. So moving to Slide 15. Europe remained impacted by muted construction environment and delayed electrification trends. Despite this, Rexel gained market share in its most important countries and delivered a resilient performance. Same-day sales in Europe were flat in Q4, improving from minus 0.5% in Q3. Volumes were broadly stable despite the political and macro uncertainties. And we also saw a sequential improvement in pricing in Q4 versus Q3, mainly driven by cable. And to put the underlying trend in perspective, our growth excluding solar, which represents about 4% of our sales in Europe, was up plus 0.5%. By end market, residential was flat, excluding solar, with first sign of recovery in a few countries, notably Sweden and the Netherlands. Non-residential was broadly flat and we saw a slight improvement in industry. Let me highlight the main country dynamics in the quarter. France was up plus 3% despite a challenging environment with broad-based market share gains and strong HVAC contribution. Benelux was up plus 2.6%, driven by electrical distribution activity in the Netherlands, and the acceleration of solar growth in Belgium. DACH was a key offset, deteriorating sequentially on business selectivity in a difficult macro environment. Also, we continue to take market share in Austria. Sweden was flat with a sequential improvement driven by industrial segment and supported by a smaller drag from solar in Q4 compared to Q3. And finally, U.K./Ireland was down minus 6.7%. Ireland remained positive with a favorable industrial market. But the U.K. market stayed tough with London showing the first sign of our recent investment. So overall, still a soft market, but improving trends from Q4 and continued market share gains in several countries. In this context, productivity initiatives helped mitigate the impact of lower activity. And this positioned well to benefit from any market recovery, particularly as leading indicators in some countries begin to stabilize. On Slide 16, we turn to North America, which remains the growth engine in Q4, driven by both volume and pricing where we saw improvement in non-cable, mainly driven by piping and conduit families. First, same-day sales were up strongly in the quarter with Canada driving the acceleration versus Q3 '25, specifically in data center project as presented by Guillaume. We also benefited from strong continued market share gains and positive contribution in datacom. And second, the U.S. continues to be driven by high-growth verticals, particularly data center and broadband infrastructure, which represents more than 55% of the growth in the quarter. We also saw strong activity in solar and EV charging. By end markets, all 3 markets were positive, with non-residential clearly driving the acceleration and the industrial automation up 8%. Lastly, the backlog remains solid, representing 2.7 months of activity at the end of December. Moving now to the full year picture. I'll start on Slide 17 with the bridge of our full year sales, showing how growth was built between scope organic, FX and calendar. We delivered full year '25 sales of EUR 19.4 billion, up 0.7% on a reported basis. Organic performance was the main driver. As we saw, same-day sales growth was plus 2.5% for the year, with volume contributing plus 1.2% and pricing adding plus 0.6% in non-cable and plus 0.7% in cable. So a solid volume contribution plus disciplined pricing across both cable and non-cable. M&A also contributed meaningfully. Acquisition added plus 1.8% more than offsetting the minus 0.9% impact from disposals. These positives were partly offset by external factors. First, the FX was a headwind of minus 2.2%, mainly from weakening of the U.S. and Canadian dollar as well as a calendar impact of minus 0.5%. That was the sales bridge for the year and we'll now move to profitability and margin performance. In this Slide 18, we bridge our adjusted EBITA margin year-on-year and the key message is simple. Record productivity more than compensates what we call the delta inflation headwind. Adjusted EBITA margin increased from 5.9% in full year '24 to 6% in full year '25. First, portfolio and FX were positive, contributing 11 basis points, while the calendar effect was a drag of minus 5 basis points. Second, you see the operating leverage, slightly negative because due -- mainly due to the new European environment and the underabsorption of fixed costs, notably in underperforming countries, mitigated by positive operating leverage in North America. Third, the main headwinds in the year was what we call the delta inflation, which represent the gap between selling price increase and OpEx inflation, 19 basis point headwind, in line with our expectations. Cost inflation was around plus 2.2% in full year '25, while selling price increase were up 1.3%. And these headwinds was more than offset by the 2 following actions: first, the gross margin improvement adding 9 basis points, supported by pricing initiatives; and second, our action plan delivered a further 33 basis points, in line with the expectation and already illustrated by Guillaume in the slide dedicated to productivity. Let me remind you that FTEs was down 2.3%, while volume contribution to sales were up 0.7% in actual days. But operating discipline is what allow us to protect and slightly expand despite inflationary pressure. Lastly, and we are further investing in the business notably through digital and footprint investment that impact our EBITA margin by 11 basis points. On Slide 19, we look at the bottom-line part of our P&L., with a zoom on other income and expense, financial expense, tax rate and recurring net income. Other income and expense stood at EUR 56 million, notably including minus EUR 41.1 million in restructuring, mainly in Europe, more than last year in order to accelerate adaptation to a tougher environment, notably in U.K. and Germany. EUR 36 million of capital gains on disposal. Minus EUR 29.7 million in asset impairment in the U.K. Minus EUR 20 million in others, including integration costs and pension settlement in Canada. Financial expense stood at EUR 214 million, slightly above last year with a rise in gross debt, offsetting the lower cost of debt now at 4% versus 4.4% last year. It includes EUR 72 million of interest on lease liabilities and pure financial cost of EUR 142 million. And for '26, we anticipate financial expense of circa EUR 250 million, including less than EUR 70 million of interest on lease liabilities and around EUR 145 million plus of pure financial expense, excluding one-off. And assuming current interest rate continues, condition remain unchanged. Our income tax rate stood at 30.2% due to the impact of the exceptional tax in France. And going forward, we anticipate the tax rate to be at circa 30% in '26, take into consideration the additional tax in France that will apply for the second year. And for '27 onwards, we anticipate then the tax rate to go back to circa 27% in the absence of exceptional tax renewal in France. And as a result, net income increased by 73% and recurring net income stood at EUR 308 million, up 2.4%. Moving to slide 20. We generated robust cash flow before interest and tax, reaching a high level of EUR 938 million, implying a free cash flow conversion rate of 76%, well above last 4 years' above average, that stood at 69%. This is excluding the EUR 124 million fine imposed by French tax authorities and paid in April '25. The trade working capital as a percentage of the last 12 months of sales increased to 15% versus 14.6% last year, mainly related to the sales growth acceleration in H2 and mainly Q4. In a number of days, embedding the last 3 months of sales, both inventory and receivables improved and were partially offset by lower payables. Indeed, the DOI and DSO decreased by respectively, 1.5 and 1 days and DPO was down 2 days. Non-trade working capital was an inflow of EUR 24 million on an outflow of EUR 100 million, including the payment of the EUR 124 million fine. CapEx remained disciplined at EUR 136 million, with growth CapEx representing 0.7% of sales, stable versus last year. So overall, we converted earnings into cash at a very strong rate, supported by tight working capital and disciplined investment levels. On Slide 21, I want to come back to free cash flow conversion profile over the last 5 years, a key proof point of the quality of our execution. As you can see, we delivered a record level again, above 70% for the third consecutive year. [ 7.6% ] conversion rate is at the top end of what we have delivered in recent years and clearly above our full year guidance of above 65% in our midterm ambition. And this performance is a result of two very disciplined execution. First, a well-balanced investment approach with roughly 55% of our CapEx in digital and about 45% in network and supply chain modernization. Second, active working capital management as we have seen, especially the quality and structure of inventory and receivables. So overall, this strong cash generation built on repeatable levels support our financial flexibility going forward. As shown on Slide 24, our capital allocation focus on both acquisition and return to shareholders. Overall, net debt slightly increased by EUR 147 million, mainly resulting from 2 factors. First, the EUR 227 million impact from net financial investments, mainly the acquisition of Warshauer, Schwing, Jacmar and TECNO BI mentioned earlier by Guillaume. Second, the dividend payment related to the 2024 performance for EUR 355 million, corresponding to EUR 1.20 per share. Lastly, we also bought back shares for EUR 100 million, in line with our midterm objectives. And since mid-2022, we bought back EUR 400 million and reduced the number of outstanding shares to 296 million. All this leads to net debt close to EUR 2.6 billion, including earnout for circa EUR 30 million, and the indebtedness ratio stands at 2x, representing a strong achievement. In short, we continue to invest in value-creating growth while maintaining a healthy balance sheet and a consistent return to shareholders. Let's turn now on Slide 23 to the breakdown of our main debt maturity and liquidity. 2024 was a very active year in terms of refinancing. In addition to all operations presented in H1, the second half was also intense, and we further extended our debt maturity profile. As a reminder, we have first issued a new EUR 100 million Schuldschein in July with a '29 maturity. Second issued EUR 400 million senior notes with 4% coupons maturing in 2030 but extended 2 securitization programs for more than EUR 800 million from '25 to '28. And finally, we increased our senior credit agreement by EUR 200 million to EUR 900 million and extended it to 2031. Overall, we have a well-balanced funding structure, extending maturities and comfortable liquidity, and we can stay focused on executing the strategy. As always, we are evaluating market opportunities in the volatile debt market environment. Moving to the next slide, we summarize our shareholder returns through the dividend. For the year, the Board will propose a dividend of EUR 1.20 per share, maintaining our strong track record. This implied payout ratio of 52%, which is at the high end of our guidance and reflect our confidence in the resilience of the business model and in our cash generation. Subject to the general assembly approval in April 22, 2026, the dividend will be payable in cash on May 13. So overall, we remain fully committed to a disciplined capital allocation policy, combining value creation growth investments and an attractive return to shareholders. Let me hand back to Guillaume before we move on to your questions.
Guillaume Jean Texier: Thank you, Laurent. And let me now turn to our outlook for 2026, and let me go to Slide 26. It's a busy slide, but it illustrates also well the way we see the short-term future. Many moving parts, a good level of uncertainty, but probably overall, more encouraging trends than the opposite. Starting with North America, prospects are clearer and we continue to expect further growth. Of course, there are still macro uncertainties, including around tariffs, and we see less traction in some electrification solutions. But structurally, the key growth engines remain in place. We expect continued progression in data centers, and we are also seeing more positive signals in industrial automation, supported by reshoring and the One Beautiful Bill. In Europe, the environment is still challenging. Construction remains near the trough and confidence is not yet back. That said, we see more and more encouraging early indicators, and we do expect improving trends, especially in the back part of the year. The comparison base becomes easier for electrification. The lower interest rate environment is starting to improve. And as I said, we see leading indicators in residential improving. And in Germany, finally, the infrastructure plan could begin to materialize later in the year. On pricing and inflation, we still expect OpEx inflation to remain slightly higher than selling price increases. At the same time, we should benefit from the carryover of 2025 pricing in the U.S. We may also see additional price increases reflecting the recent rise in copper and silver, but it is a little bit too early to tell with certainty. And finally, self-help remains a very important part of the equation. We will benefit from the carryover of actions already launched, and we have also new initiatives to implement in 2026. So overall, North America should remain solid and supportive. Europe should gradually improve. And in all cases, we stay focused on execution and self-help to deliver in an uncertain environment, which brings us to our full year 2026 guidance on Slide 27. On the top line, we expect same-day sales growth of 3% to 5%. On profitability, we guide for a current adjusted EBITA margin of around 6.2%. At this stage, we still expect a slightly negative inflation gap with cost inflation running ahead of selling price increases although improving compared to 2025. And that will be offset by a clear set of cost and productivity initiatives, including the continued rollout of digital and AI tools. In addition, copper price rose sharply recently. Of course, as a distributor, we will pass the price increases from suppliers. We don't know yet how much price increase will be passed by those suppliers. And we believe that the situation may vary by country, by suppliers, leading to progressive price increases. We prefer to be cautious that it is very early in the year, which means that we took the equivalent in terms of copper of $11,000 per tonne price of copper to design this guidance. And we will adjust during the year depending on the evolution of the situation. And finally, on cash, we are guiding for free cash flow conversion now above 65%, reflecting our disciplined CapEx policy and continued focus on working capital. So overall, our 2026 guidance reflects continued growth, resilient margins through self-help and strong cash generation in a global environment that remains marked by a little bit of uncertainty. Turning to Slide 28. Before we conclude, I think it's worth taking a step back to consider how Rexel's ongoing transformation has taken roots over time and is still ramping up. Building on foundations laid in 2010 to 2019, particularly when it comes to digital penetration, we have been broadening and accelerating our transformation since 2020 to more dimensions of our operating model. We have raised the bar on operational excellence with more standardization, automation, discipline and execution. We have also made portfolio management much more active using bolt-on M&A and selective disposals to improve the quality of the group. In parallel, we have scaled advanced services and focus more on the market where we see structural acceleration, electrification, energy efficiency and of course, data centers and datacom. And now we're entering a new phase where AI-boosted tools are becoming a real game changer in customer experience and productivity level, not a concept. What matters is that these levels reinforce each other, stronger digital, better operations, a sharper portfolio, more value-added services and higher productivity. So when we talk about Axelerate2028 and our medium-term ambitions, it's the continuation and acceleration of the transformation that has been underway for years. The Axelerate2028 plan is now fully underway. And as I said at the beginning of the presentation, 2025 was a very busy year in a number of new initiatives launched. This gives us great confidence in our ability to deliver on our midterm ambitions, even in a less supportive market environment. And I'm now on Slide 29. Since 2024, when we issued our midterm guidance at our Capital Markets Day, what has first changed is the market backdrop. The macro cycle recovery has been delayed. We faced a delta inflation headwind in 2024 and 2025 and electrification market in Europe has been a little bit more muted than expected. But on the other hand, several factors have moved in the right direction with some of them, many of them being in our control. So first, we are leaning even more into high-growth verticals, especially data centers. Second, the adoption of GenAI is accelerating faster than we initially anticipated, and this will prove clearly beneficial to our business model. Third, we have reinforced our focus on cost initiatives and productivity across the group. And finally, pricing is more supportive in '25 and '26 with higher selling price increases coming from U.S. tariffs, pricing programs and potential impact from copper. So when you put all of that together, there are pluses and minuses, but the combination of that allows us to confirm our medium-term objectives, sales growth of 5% to 8%, including 2% to 3% from acquisitions, an adjusted EBITA margin above 7% and cash conversion of 65%. In other words, the market is certainly not giving us a free ride, but the strategy and the self-help levers are stronger and this is why we are confident in our midterm ambition. And in a way, the fact that we now rely more and more on our own efforts on what is in our hands than on the market is an element of security that is good news for the future. So let me close this presentation with 4 key messages before we open the call for Q&A. First, 2025 was another clear demonstration of Rexel's resilience through the bottom of the cycle, proof that our transformed model is working. Second, the momentum we saw in Q4 in both Europe and North America, that we continue to see in January, has carried into early 2026, which gives us a very good starting point. Third, with the launch of Axelerate2028, we are accelerating transformational change across the group from productivity and cost efficiency to digital and AI adoption to unlock our next phase of performance. And despite slightly less market support, we are keeping a high level of ambition, and we remain fully committed to reaching our midterm guidance. Finally, I'd like to finish by saying, our teams have once again shown remarkable commitment and agility in 2025. And with that, I would like to thank our employees, customers and partners for their continued trust. Thank you for your time and attention. And now Laurent and I are happy to take your questions.
Operator: [Operator Instructions] First question is from Daniela Costa, Goldman Sachs.
Daniela Costa: I have 2 questions, if possible. I'll ask them one at a time. But the first one is regarding the free cash flow. As you mentioned on the presentation, you've beaten your targets on free cash flow for a few years there. But you're once again guiding for around 65% on the conversion. Can you talk why you don't upgrade that target? And what would drive you back down to a weaker cash conversion than what you have had, for example, this year, excluding the charge? That's number one. And then I'll ask the other one.
Guillaume Jean Texier: Okay. Thank you very much, Daniela. And thank you, first of all, to recognize the important effort that we make to optimize free cash flow and to deliver good performance. Now we have upgraded in reality, the free cash flow guidance. You have probably noticed that, but we went to around 65% and then to above 65%, which is the guidance that we are giving. So it's progressing. Now on this one, we prefer to be cautious because, as you know, the free cash flow delivery depends very much on the shape of the last part of the year. In a year of acceleration, which we experienced in Q4 2025, that's always a little bit favorable to free cash flow. And to the opposite, and we have seen that during COVID, for example, in a year of a deceleration, the free cash flow in terms of transformation is always a little bit more challenged because of working capital at the end of the year. So there are many things in the free cash flow delivery that we master, inventory and number of days throughout the years in average is something that we control well. CapEx is something we control very well. But when it comes to payables and receivables, because of this uncertainty, we prefer to be cautious. But you're right, over the last 3 years, we have systematically delivered more than 70%. And in the last 2 years, more than 75%. I mean I don't know, Laurent, if you want to add anything to that.
Laurent Delabarre: Maybe on the CapEx side, we had years of more important logistic investment in the past where we were below this 70%. That's why I think the above 65% is a reasonable target.
Guillaume Jean Texier: If the question is, does it hide anything in terms of additional expenses or additional CapEx that you will have in mind, no, not really. I mean we feel that 2026 is going to be the same kind of profile in terms of CapEx as 2025. So no, no, no particular -- I don't know if it was your question, but I'm answering it.
Daniela Costa: Great. And then just on this AI productivity benefits that you talked about. I was wondering if -- when you planned your targets in 2024, was this what you were already foreseeing would happen in '25? Or should we look at this sort of productivity improvements as over and above what you were expecting back then? And once the market comes, what should be the incremental upside to margin from these extra initiatives or extra productivity that you find if this is extra?
Guillaume Jean Texier: So directionally, I think you're absolutely right. This was not completely in our minds, not to this extent when we did our initial midterm guidance in 2024. So the benefits of that, which is double digit in terms of productivity will come on top and above that. We have productivity targets. But clearly, GenAI potentialities are probably adding a layer to those productivity targets. But to the opposite, as we showed on our Slide 29, there are a few things which are probably temporary. I mean when we're talking about delayed cycle recovery, that's probably something, which you're right, in the long term is going to come back. And the same thing about delta inflation headwind. But -- so at some point, it will come over and above. So if you're talking about the absolute potential of Rexel, mid-cycle potential of Rexel, maybe that -- which is going to be an additional benefit to what we guided to in 2024, but I'm very focused on what we call midterm, which was 3 to 5 years. And in this time frame, I think this may be something which will help us offset potential macro delays. That's what we are saying.
Operator: Next question is from Akash Gupta, JPMorgan.
Akash Gupta: I have 2 as well. My first one is on copper prices dynamics because when I look at movement in copper price in Q4, we had roughly a 20% increase in U.S. We had 9% on LME. And when I look at your copper price, in Q4 of 0.8%, that looks a bit lower than implied by changes in copper prices. So maybe if you can talk about why it is not yet reflected in your growth rates? And then when it comes to the outlook, and thanks for specifying that your guidance is on $11,000 per copper. So if we assume that the current level of $13,000 stay for rest of the year, is it fair to assume that we need to add probably 200 basis points annualized to your growth rates?
Guillaume Jean Texier: Laurent?
Laurent Delabarre: Yes. First, I mean, the copper is not as mechanical as you see. What we guided in the past is that a $500 increase in copper would drive around 0.4% of top line growth. But with this sharp increase in copper recently and in the current environment, and there are also FX components into that, what we see today is that the supplier, they are lagging effect to pass through the copper improvement into the cable price increase. And we turn also our inventory in 2 months, so there is also this lag. That's why at the end, it will gradually come into our performance into '26, and that the effect in Q4 is slightly lower than what you were calculating.
Guillaume Jean Texier: Yes. The wild card is really very much what the manufacturers, what the cable manufacturers and also what the other materials manufacturers, which include copper, are going to do with that. And in the follow-up, I'd say, I understand that it was very automatic. It's been a little bit less the case in the recent past because of strong variations. And so we'll see what happens there. And as far as if things were completely automatic, what would it mean in terms of top line? I think your ballpark calculation is probably approximately right, maybe slightly high because Laurent said that it's a 5:4 ratio, but we are not that precise anyway. So yes...
Akash Gupta: And my follow-up is on the growth guidance. So at midpoint, you're guiding 4% organic same-day growth. And can you break it down into what sort of volume assumptions you have assumed in that calculation? And when we look at the margin drop-through, is the margin drop through of additional 1 percentage point growth from volume versus price? Is there any difference on the drop-through on margins, like, let's say, if we have 1% higher growth from volume, would that have any different drop-through than 1% higher pricing?
Guillaume Jean Texier: Yes. I mean Laurent, do you want to answer on that. I mean first, I will answer the easy part of the question, which is that the assumption is half-half. Now Laurent, for the more difficult part, which is drop-through volume versus drop-through on price, et cetera.
Laurent Delabarre: No, that mechanically, the drop-through on price is a bit higher because you have less variable costs. You have just the commission of the salespeople and some bonuses whereas a drop-through on volume will include transportation costs and other cost, inventory cost. But again, it's -- yes, the drop-through on price is a bit higher.
Guillaume Jean Texier: But that's not exactly the way we calculate our bridge. I mean we look at the drop-through on volume. And if we look at -- if we try to do a back-of-the-envelope math, if we look at 2025 to 2026, we look at, let's say, 2% volume, we say, the drop-through on this volume is approximately 20 bps, so that's beneficial. Then you have additional action plans. But on the other hand, as I mentioned in my comments, we also think that our inflation, which should be around -- inflation of our costs, I mean, which should be around 2.5% is going to be higher than the inflation that we assume in our gross margin and in our products, the price content of the gross margin, which is going to be around 2%. So those 2 blocks should offset more or less each other. And that's the reason why, at the end of the day, and the drop-through on price is included in this calculation, in the second calculation between inflation of gross margin and inflation of cost. So that's the reason why at the end of the day, we are guiding for around 20 bps of improvement.
Laurent Delabarre: And to be specific, on the bridge '24 to '25 that I presented to the point of Guillaume on the operating leverage, we had a lot with op volume only. The pricing part is in the delta inflation of that, yes. That's the way we do it. So yes.
Operator: Next question is from William Mackie, Kepler Cheuvreux.
William Mackie: A couple actually, maybe looking at the bridge again. Last year, well, in '24, you made great progress with your action plans in dropping out cost. In '25, I think you've called it out as 33 basis points. Could you put some color or financial color around the expectations for how the action plans in '26 should play out, obviously partly contingent on the market development?
Guillaume Jean Texier: Laurent, do you want to take this one?
Laurent Delabarre: Yes, it was quite heavier, and you have seen it in the restructuring cost that we have factored in '25 For '26, we expect to have a bit less restructuring costs more in the EUR 20 million range. So meaning that we will have at the end a bit less benefits in terms of cost savings. We have additional initiatives plus the carryover of the initiatives that we implemented in the second half. The carryover is a bit less than 10 basis points, and we'll have additional action next year, but we are in a year which we will grow on the top line. So the productivity will more come from the volume than by the reduction of cost.
Guillaume Jean Texier: So I mean the answer is approximately half of what we had last year. We did a lot of the heavy lifting last year. And I think we have now a lean cost structure ready for growth. But still around 10, 15 bps of cost savings. 15 bps.
William Mackie: The follow-up would be related to the portfolio or the capital allocation more broadly, 2x net debt after a very positive year of free cash generation. And you've made great progress over 4 years with the portfolio development on acquisitions and disposals. But at this sort of level of leverage and with the portfolio today, is there much that could leave after Finland? And what is the sort of target opportunity looking like?
Guillaume Jean Texier: Look, I mean, I will give you -- I will not answer your question, but I will give you a very general and worthy answer, which is that everything is under review all the time. Whenever we are in a situation where we think that we can improve a country or a business to our goals, even if we have to invest, even if it takes some time, we do it. But in some cases, and it was the case in most of the divestments that we have made in Spain, in New Zealand, in Norway and in Finland. There are situations where we feel that either we will not get to it because of the competitive situation of the country or the business or that there is a very attractive offer on the table from somebody who wanted to buy the business. And then we are very pragmatic in terms of value creation. But our preference is to improve organically what we have in general. So which means that, no, we don't have immediate plans of selling something. But then everything is reviewed every year based on those criteria. One, are we able -- do we have a credible plan to the Rexel goals -- to contribute to the Rexel midterm goals? And two, is there a super attractive value creation offer on the table? So that's what we do. But at this stage, we have nothing in preparation in the next few months.
William Mackie: And on the buy side, how do you see the sort of valuation range and range of opportunities?
Guillaume Jean Texier: On the buy side, we will continue to be active in terms of acquisitions. We have a pipeline which is healthy those days. So you may see a little bit of that. We are talking small and midsized acquisitions. We are talking the same focus as we had in the previous years, which is mostly in North America and mostly focused on the most value-added parts of the business if we can, which are services, et cetera, but not neglecting the potential to do a synergistic consolidation, acquisition. So I think you will see acquisitions in 2025 -- in 2026. If I had to bet, but it's always difficult to bet before the acquisitions are done, I would say that you're going to see slightly more than what we have done in 2025. And in terms of multiple environment, look, I mean, the multiple environment is relatively rich. I mean there is competition out there when it comes to acquisitions. But as you have seen over the last few years, and I think this is in the slides that Laurent mentioned, or in the slides that I commented in terms of acquisitions because we are able usually to add a sizable amount of synergies, we were able, and that's not a forward-looking, but that's a backward-looking calculation. We were able to deliver an average multiple, which is around 7x, which compared to our current multiple, which fortunately at the same time, has increased also to 10x, is a good value creation. So we will continue to be disciplined in that to make sure that we continue to build this track record.
Operator: Next question is from George Featherstone, Barclays.
George Featherstone: I just wanted to come back to the price versus cost dynamic that you flagged. I mean it sounds like demand is getting better. Are you still flagging this headwind for 2026. So I just wondered what the main reason is that you're unable to sort of match the cost inflation with prices? Or is it simply just a timing? That would be the first question, please.
Guillaume Jean Texier: No. I mean let me be clear. When we are talking about that, we are not taking the price versus cost inflation. That's not exactly what we mean. On one hand, we have the price increases from our suppliers. And usually, we are very good because it's our core business, passing through those price increases to the market. Here, the pass-through is extremely good or if not perfect. But that being said, we cannot -- if there is a price increase of 4% by supplier A, we cannot say to the market that the price increase is going to be 6%. We do not have this ability because those price increases are usually well-known in the industry. Now so that's one thing. This is a price effect that we get mostly by decisions of our suppliers about how they are going to go to the market. And then there is the second part, which is completely separated, which is our own cost equation. In our SG&A, 2/3 of our costs are salaries. The rest is occupation costs with leases, et cetera. And that we also try to optimize, but we are also bound by different arrays of constraints, which are basically the average salary increase in the given country. We always try to optimize, but that's a little bit what it is. And what we are saying, for example, for next year is that we think that our OpEx inflation, salaries, rents, et cetera, transportation costs, is going to increase around 2.5%. And that as far as we see today, based on what we see from our suppliers, but it's the early beginning of the year, and it may change. We think that the price increases, which is the price component of the gross margin is going to be around 2%. So to be clear, what we are saying is certainly not that we are not able to pass the price to the market, which is what I heard a little bit in your sentence, but more than this particular equation, sometimes it's very favorable when there is a strong inflation in the industry because, for example, of shortages. And in this case, the salaries continue to increase with general inflation and the price of product is increasing by 5%. It happened to us in the past. And sometimes in other years, the price increases passed by the suppliers are a little bit more shy because they want to protect their market shares. And in this case, we have to work on our self-help action plans, productivity, et cetera, to offset that. That's a little bit the way it works and the way we try to explain it. I hope I was clear.
George Featherstone: No, that's perfect. That's makes total sense. Then maybe just a question on the backlog in the U.S. I just wondered how much of this is data center versus projects in other end markets? And just whether you can comment at all on how that backlog has evolved sort of data center versus non-data center, if it is split like that?
Guillaume Jean Texier: Look, you're asking a question to which I was not prepared, unfortunately. I think -- I don't know. I don't know in the backlog, how much is data center, how much is the rest. What I know is that overall, the backlog remains at the North American level, very stable, higher than the historical average, with maybe Canada increasing a little bit which may be the effects of data centers and the U.S. being a little bit lower than Q3, but very incrementally. Now what I can tell qualitatively is that in data centers, we have a good degree of confidence that we will continue to deliver a good growth rate. And when I say the growth rate, you saw that our data center growth was more than 50% for the year and more than that in Q4. We think that we -- you can safely say that our data center growth next year is going to be at least north of 20%.
Operator: Next question is from Andre Kukhnin, UBS.
Andre Kukhnin: I'll just go one at a time. Firstly, on pricing, just to clarify what you said, if you talk about non-cable pricing specifically, and kind of low voltage and automation products, we've seen evidence of price increase letters being sent to customers by major suppliers in China. But your comments suggest that this hasn't happened in European countries or in the U.S. Is that the case?
Guillaume Jean Texier: Can you repeat your last sentence, our comments?
Andre Kukhnin: Yes. We've seen there was press that kind of published letters to customers announcing price increases by major international and local vendors in the voltage and industrial automation in China. And from your comments, it sounds like this hasn't happened in France, Germany, Netherlands, U.K. or the U.S. So I just wondered if that's the case, if I've got the right reading of that.
Guillaume Jean Texier: I mean first of all, we think that we are going to see price increases during the year. We talk to suppliers, and we feel that they are willing to increase price. Now what we don't know is the extent of that and by how much it's going to be proportional to the copper evolution when it comes to cable, et cetera. So that's what we are saying. We're not saying that suppliers are not going to increase price. And as we said, we have an hypothesis of price increase for next year, which is around 2%. Now what I would say also is that the dynamics between the Chinese market and the other markets is totally different in terms of price. Price, especially when it comes to -- I mean, China, especially when it comes to industrial automation, has experienced a price war around -- during the last 2 years, which is coming down in the second part of 2025. And it's not a surprise that the suppliers would want to catch up and to increase price. So no, I want to be clear. If my comments were read as, we don't see suppliers wanting to increase price. It's not what I wanted to say. We think that there are going to be price increases very clearly. We have evidence -- I don't know if the letters were sent, but we have evidence of suppliers telling us that they will increase the price very clearly. Now the uncertainty is really about the quantum.
Andre Kukhnin: Got it. Got it. And then the other question I had is along the lines of a couple of sort of questions on the delta inflation or the inflation gap. I'm just trying to think about a macro sort of external scenario where you could have your margins expanding like really meaningfully by, say, 30, 50 basis points in the year. What would you need to see for that to happen? Does it just need faster growth than 3% to 5% for that to take place?
Guillaume Jean Texier: Look, I mean, that's very easy. If you look at the guidance for next year, we are guiding for 20 bps of drop-through improvement in volume on a reasonable year, which is a 2% growth year. I think a 2% growth year is a reasonable average year. So that's one thing. And we are guiding also to, as I said, 15 bps of cost savings improvement. So that's already 35 bps if you are in a balanced situation, which is going to happen on a given cycle between those 2 inflation figures. So right there, on a year like 2026, you're delivering -- I mean, it's not done. I mean we have to deliver it, but you're delivering 35 bps of improvement. If you have a little bit more growth, which is not crazy to think of when you think about all the prospects of data centers, electrification, et cetera, and the recovery in Europe. If you have a little bit more growth, you're going to easily get to 50 bps. So I think it's not crazy to imagine a scenario like that because what I should say is that when I look at the 15 bps of cost savings, I am quite confident that this is something which is sustainable on a yearly basis. You have seen our figures about productivity evolution. We are quite proud of what we have done in terms of setting the bar higher in terms of productivity. And when we come to cost savings, productivity is a good proxy of what we are doing. And we will continue to do that. And AI is a potential help in that. So yes, absolutely. I mean that's a good question because when you look at the 20 bps improvement between '25 and '26, you may think, okay, 7% is far away. But in reality, when we look at the prospects of a recovery in Europe or the prospects of having a normalization of this effect of differential between our cost inflation and the rest, we are quite confident. And when we look also at the acceleration of our action plans, we are quite confident about that.
Andre Kukhnin: That's really helpful. If I may, just a very quick one. You mentioned solar and EV charging sort of prebuy in the U.S., I think, is what the comments implied ahead of some regulation change. Is that something we need to -- could you quantify that?
Guillaume Jean Texier: Mostly on solar. I mean overall, solar, if I look at the solar business, the solar business in the U.S. grew by 4.2% in Q4 2025, which is the first time that we had -- I mean, no, I mean, I think it's at a group level, it grew by 4.2%, which is the first time in many quarters that it grew, and that's because of this U.S. effect. Now in the U.S., the situation is that there is on one hand some of the federal subsidies, which are going to disappear at some point during the year. So there is a little bit of to pre-buy to qualify the project, and it will be going to continue to go on for commercial projects during the year. And there is a fact also that there is also a lot of regulations which happen at state level and a bulk of our business is done in California, which means that on the other hand, I think California wants to try to offset that and to push solar. So we see where it goes. But at the end of the day, we got good figures in solar in Q4 '25 and positive figures. Now that being said, you know that solar today in our mix of businesses represents approximately 3.5% of our total sales. A few years ago, it used to be at 6% when there was a boom in Europe. We continue to see -- we will continue to see growth in the future. Is it going to come back to 6%, I don't think so. Not anytime soon, but that's a little bit the situation.
Operator: [Operator Instructions] Next question is from Aron Ceccarelli, Bank of America.
Aron Ceccarelli: I have 2, please. The first one is on Europe, in the presentation, you called out market share gains in a challenging market in France, but also in Austria. I was wondering if you can expand a little bit about how you think about the sustainability of these market share gains as we enter 2026, please?
Guillaume Jean Texier: Look, I mean, first of all, I'm always quite cautious about market share gains. Now what I feel comfortable with is that those gains were not acquired by price. And you have seen that, and we have been able to be quite disciplined in terms of margin overall at group level. But I can tell you that in France and in Austria, we didn't buy market share. We gained market share through better service and competition, through better value add that we bring to our customers. And you have to understand that our B2B customers, they are obviously focused on the price of the products. But they are very interested in the value that we can add and in the value that they can lose if the distributor is not providing the right level of expertise, service, et cetera. So because of that, I'm quite encouraged by that to the fact that it's going to be durable. Is it going to last forever? Certainly not. We have good competitors. They will do their homework. And at some point, in the midterm, they will rebalance things probably. But right now, I think we are on the momentum, which is going to last for a few more quarters, I hope. And I have a good degree of confidence because of the way we have gained market share.
Aron Ceccarelli: Got it. My second question is on your opening remarks. You mentioned several times, good momentum in industrial automation in different countries. Could you perhaps expand a little bit on this topic and how you see industrial automation at the moment for you?
Guillaume Jean Texier: Look, I mean, first of all, I should give you an exposure to where we are big in industrial automation. We are big in industrial automation in the U.S., in Canada, a little bit in Europe, in China and in India. And I can also give you figures, our industrial automation business in Q1, Q2, Q3, Q4 in the U.S., which is the most important country, was minus 4%, 1%, 3%, 8%. We saw a clear acceleration during the year of industrial automation, which is due to the fact that when you look at the recent publications, the [ ISM ] is now, for the first time, significantly above 50, which is a good sign. You have the clear effect starting to kick in of the tariffs, which is triggering reshoring. We flagged since the beginning, the fact that at some point, it would happen. When I look at the prospects of the industrial automation suppliers, they seem to be quite encouraging also. So at the end of the day, what is happening is not a surprise. And because we are big in industrial automation in the U.S., we benefit from that. When it comes to other countries, I think we commented a little bit on China and on the price effect in the second part of the year. Now that being said, in terms of volume, it continues to be relatively subdued, and let's put it this way. India is good, but it's small. And in Europe, the topic is the overall industrial investment, which is not great, the level of confidence in many countries in Europe, including in Germany and in France, which are 2 big countries where we have industrial automation is not yet mid-cycle to say the at least. So there is potential in there.
Aron Ceccarelli: If I may, just a clarification on pricing. So you -- am I correct saying you mentioned 2% is coming from the suppliers so the cable one, and then the remaining is going to be flat? Is that the guidance for the year?
Guillaume Jean Texier: No. We said 2% overall average, including copper, including suppliers, including all suppliers. We think that there is going to be price in almost all categories. It's going to depend once again on the specific category, supplier/country situation, but we think there's going to be price a little bit everywhere.
Operator: Last question is from Eric Lemarie, CIC Market Solutions.
Eric Lemarié: I've got 2. The first one, you mentioned at the last strategic update. You said roughly that 10% of the data centers market is addressable by distributors? Is it still the case today? Or is it now more than 10%? And my second question regarding the so-called acceleration businesses you presented at the last Capital Markets Day this time. Could you tell us the growth generated by these businesses in 2025 and maybe the weight in the sales from acceleration businesses?
Guillaume Jean Texier: Yes. So I don't remember saying 10% of the market of data centers was addressable by distribution. And if said it, it was more order of magnitude. I don't think that I had in mind precise studies saying that. What I can tell you is that, first of all, the proportion of data centers in our business is growing. When you look at North America, when you look at the U.S., I think it's North America, we are now at 7% of our business, which is data centers. So it's starting to be sizable. I mean a few quarters ago, we were talking about 3%. We are now at 7%. The second thing I would say is that the range of products that we supply to the data centers industry is expanding. We started with -- and it may be particular to Rexel. Some other competitors may be more advanced than us, but I think we are catching up fast. We started with cable, and now we get a little bit more into more advanced things, like switch gear, et cetera. Now we are staying in the gray part of the data centers. I don't think it's going to be easy for us to enter into the white part of the data center, which is very much going direct or through specialized players. But we are expanding the proportion that we were able to address and we're expanding that quarter after quarter, which I mean, first of all, the opportunity is growing fast and our ability to grab a bigger part of this opportunity is also progressing. I think on the acceleration businesses, I can give you the figure for Q4 because I have it under my eyes. I don't have the full year, maybe I'll find it back for the next opportunity. Basically, the total business accelerators, including solar, HVAC, EV, industrial automation, datacom, utilities, is representing in Q4, 30% of our mix, and it's growing at 3.9% which is very slightly above the overall growth of the group in Q4 2025, which was 3.8%. And so the fact is that data centers are not included in that. The datacom part is included in that, but data centers because we try to be consistent with what we have given you in 2024 is not included in that. If I was to add data centers, obviously, we would add 3% at group level, and we would add a 3%, which grew in Q4 at north of 50%. So it would improve a little bit the accelerating part of it. And I think that's the beauty also of those acceleration businesses. There are years where things are accelerating in solar. And then the next year it's going to be less good in solar, but it's going to be good in data centers, et cetera. And the good thing is because there is not one trend, but 5 or 10 trends supporting the acceleration of our business, we're always going to see the benefit of that. I hope I gave sufficient answer even if I didn't find the full year results.
Eric Lemarié: Can I ask a follow-up one?
Guillaume Jean Texier: Sure.
Eric Lemarié: Yes. Could you -- you mentioned that your range of products are expanding for data centers, but could you tell us whether Rexel will be well placed in your view for the future deployment of 800 VDC solution within data centers. Is it something that you will be able to?
Guillaume Jean Texier: Can I come back to you later on that because I don't have the answer to that. I need to talk with my teams.
Operator: Mr. Texier, there are no more questions registered at this time.
Guillaume Jean Texier: Look, I mean, thank you very much for your questions and your interest in Rexel. As you can tell, we had solid results in 2025. We are proud of those results. And we think that we're entering 2026 with good momentum, both on the market side and also on our internal momentum side, so we have confidence in the future. And we'll talk to you for the Q1 sales in April. Thank you very much, and have a good evening. Bye-bye.